Andrew Cartledge: Good morning, everyone, and thanks for joining us for our First Half 2025 Financial Results Briefing. As a reminder and announced in December, the functional currency of WiseTech Global Limited and other subsidiary entities in the group have changed to U.S. dollars from Australian dollars effective 1st of July 2024. Consistent with this change, the presentational currency of the group has also changed to U.S. dollars. All financial information for the group has been presented in U.S. dollars unless otherwise presented. Now, on to our results highlights. In 1H 2025, we delivered a strong performance with revenue and EBITDA in line with expectations with EBITDA margin growing 5 percentage points. Business momentum has continued with two new top 25 large global freight forwarder wins with two of Japan's largest, Nippon Express and LOGISTEED, as well as growth from new and existing customers. We continue to actively pursue strategic acquisitions in line with our key development priorities with BSM Global completed post-period end and Singeste joining WiseTech in the first half. We also entered into an agreement to acquire ImpexDocs, which is pending regulatory approval. Our breakthrough products are progressing with ComplianceWise and CargoWise Next launched and Container Transport Optimization now expected as an initial launch in the second half of FY 2025 in Australia. All this means that we're well positioned heading into the second half with continuing momentum. This is all possible because of our talented global team of around 3,500 people. The knowledge, skill, and commitment they bring to the table every day drives our success and builds on the value we create for our customers, the broader global logistics industry and the community around us. Turning to our financial performance on the next slide. In 1H 2025, we delivered total revenue of $381 million, an increase of 17% on 1H 2024. Organically, total revenue grew by 15%. CargoWise revenue grew organically by 20% to $331.7 million with recurring revenue at 99%. EBITDA was up 28% to $192.3 million with our EBITDA margin up 5 percentage points to 50%. Underlying NPAT of $112.1 million was up 34%, and free cash flow of $124.1 million was up 22%. The Board determined an interim dividend of $0.067 per share, up 31% on first half 2024, representing a payout ratio of 20% of underlying NPAT. These results clearly show our ability to deliver strong, profitable growth and attractive returns to shareholders through consistent delivery of our 3P strategy while providing plenty of financial headroom to continue investing for the future. Caroline Pham, our Interim CFO, will now take you through our first half 2025 financial performance in detail.
Caroline Pham: Thanks Andrew and good morning everyone. It's a pleasure to be speaking with you today. For those of you I haven't met yet, I'm Caroline Pham, Interim CFO of WiseTech. I've been with the company for over eight years, including as Deputy CFO since March 2023. During this time, I built and led the commercial finance function, have overseen a number of teams, including financial planning, commercial finance and treasury and have supported strategic decision-making across the business. Starting as usual with an overview of our financial performance. As Andrew noted, in 1H 2025, total revenue grew by 17% on 1H 2024 to $381 million with CargoWise revenues growing 21% to $331.7 million. Gross profit was up 19% with the gross profit margin strengthening by 2 percentage points to 86%. Reported EBITDA was up 28% to $192.3 million with the EBITDA margin increasing by 5 percentage points to 50%, which includes the benefits from the group's cost efficiency program. EBIT grew by 31% with depreciation and amortization increasing by 20%. This reflects a 30% increase in R&D amortization driven by our continued investment in the CargoWise platform, partially offset by lower increases from depreciation and acquired amortization. Underlying net profit after tax of $112.1 million was up 34% on 1H 2024, benefiting from lower net finance costs following a reduction in our drawn debt facility during the period. Statutory NPAT was up 38% to $106.4 million with basic earnings per share up 37% to $0.32. On the next slide, you can see the split between recurring and nonrecurring revenues as well as between CargoWise and non-CargoWise revenues. In 1H 2025, recurring revenue grew by 18% or $55.9 million, excluding the impact of FX. This was driven by large global freight forwarder rollouts, new and existing customer growth, price increases to offset the impacts of inflation and to generate returns on product investment, new product releases from prior years and FY 2024/FY 2025 M&A. On the right-hand side of the slide, you can see the contribution from growth in CargoWise revenue, which was up $53.3 million or 20% organically. Of this, $44.7 million was from existing CargoWise customers and $8.6 million was from new customers. Importantly, CargoWise customer attrition remains extremely low at less than 1% over the last 12.5 years. On the next slide, you can see that overall operating expenses as a percentage of revenue reduced by 2 percentage points from 1H 2024 driven by savings from the group's cost efficiency program. Product design and development expenses increased by $9 million on 1H 2024 to $62.6 million in line with 1H 2024 at 16 percentage points of revenue, reflecting continued investment in CargoWise innovation and development. Expenses supporting maintenance of non-CargoWise platforms represented 19% of total product design and development expenses, down 5 percentage points on 1H 2024. Sales and marketing expenses of $22.2 million decreased by 2 percentage points of revenue on 1H 2024 to 6 percentage points of revenue, largely reflecting benefits from the cost efficiency program. General and administration expenses were $52 million and 14% of revenue. The $5.6 million increase from 2H 2024 was driven by operational investments to support future growth, M&A, litigation defense costs and Board advisory, offset by ongoing cost reductions. Excluding M&A costs, G&A as a percentage of revenue was 13%, down 1 percentage point on 1H 2024. Turning to the next slide, where you can see our R&D investment with investment in product innovation remaining a key differentiator and value driver for the group. Our overall R&D investment increased by $20.6 million or 18% versus 1H 2024, reflecting hiring and investment in the CargoWise platform. Overall, this represents an investment of 36% of our revenue in R&D in line with 1H 2024. 54% of our 1H 2025 R&D investment was capitalized, which is consistent with 1H 2024 and in line with our target range of 50% to 55%. We delivered 612 new product enhancements on the CargoWise application suite in 1H 2025, bringing total enhancements delivered to over 5,800 across the last five years from a total investment of over $870 million. Increased hiring drove CargoWise product development resources up by 10% versus 1H 2024 with 64% of our global workforce now focused on product development, an increase of 2 percentage points year-on-year. Moving to the next slide, you'll see how our strong balance sheet and liquidity continue to provide a solid platform for future growth. At 31 December 2024, we had total liquidity of over $380 million, providing significant financial flexibility and headroom to fund strategic growth opportunities. The $25.2 million increase in intangible assets was driven largely by investments in ongoing capitalized development, largely offset by amortization. We retain a five-year $310.8 million unsecured debt facility maturing in FY 2029 that is supported by our diversified panel of nine banks. During the period, we took advantage of our strong operating cash flow to repay $58.2 million of our drawn debt with $30 million remaining drawn at balance date. We have $64.5 million in new share capital, which includes new shares issued to the employee share trust to fund our employee equity programs. This was partially offset by a $57.8 million movement from the functional currency change. The employee equity programs are a key component of our remuneration framework to support staff retention, attract high-quality talent and encourage long-term value creation across our workforce with over 90% of our employees holding shares or share rights. Turning to our 1H 2025 cash flow performance on the next slide. Operating cash flows increased 24% on 1H 2024 to $202.7 million, demonstrating our highly cash-generative operating model. Our operating cash flow conversion rate of 105% was down 4 percentage points on 1H 2024, reflecting timing of payments which were made in 2H 2024, and we expect it to be neutral in FY 2025. Free cash flow was up 22% to $124.1 million on 1H 2024, and free cash flow conversion was down by 3 percentage points on 1H 2024 to 65%, reflecting higher operating cash flow reinvested into long-term growth, $78.6 million invested primarily in product development and data center capacity, including the purchase of our U.S. data center building. Taking the sum of our total revenue growth and free cash flow margin, our Rule of 40 was 50% in 1H 2025, down 9 percentage points from 1H 2024, driven by 13 percentage points from first-time consolidation of Envase and Blume revenue in 1H 2024. So, overall, the group delivered revenue and EBITDA in line with expectations in the first half with continuing momentum into the second half. I'll now hand back to Andrew.
Andrew Cartledge: Thanks Caroline. WiseTech's strategic vision is to be the operating system for global logistics. Our highly skilled global team, strategic acquisitions and integration program and laser-focused strategy means we've developed the capability and capacity that no one else in the industry has. Our leading logistics execution platform, CargoWise, is making it easier for large global players to operate efficiently and effectively and has driven vast improvements across the industry. At the same time, consistently executing on our 3P strategy has allowed us to deliver strong, sustainable growth through the cycle. While our core market remains international freight forwarding, we continue to move into close adjacencies of customs and compliance, landside logistics and warehouse. This deep focus on our strengths and careful expansion of our product capabilities has led to important product breakthroughs in many areas of CargoWise. And by focusing on our six key development priorities, we continue to revolutionize major parts of the global logistics ecosystem. Strategic acquisitions remain an active part of our strategy and building out this capability as well as our market presence. During the period, we completed another foothold acquisition, Singeste, a leading developer of IT solutions for the customs sector in Portugal. Our native customs platform now covers approximately 80% of global manufactured trade flows, including countries in production and development. Post-period, we completed the acquisition of BSM Global and entered into an agreement to acquire ImpexDocs. Both are tuck-in acquisitions that will extend our digital documentation capabilities, providing our customers with enhanced functionality to support their customers. BSM Global is a provider of global trade management systems and solutions that connect companies with trading partners globally. And ImpexDocs provides solutions to centralize, digitize, and automate international trade workflows. As we highlighted over full year results in August last year, CargoWise drives competitive advantage for our customers and fundamental industry change in three distinctive ways. Firstly, we look to find fundamental flaws, operating problems, inefficient models and incomplete or ineffective processes, and then embed and automate improvements so that we revolutionize the industry's established model. Secondly, because of the many cost and management efficiencies achieved through CargoWise, we're driving value for our customers across their entire cost base. This is through four layers of cost efficiencies, which start with eliminating legacy IT costs, then expands to lowering labor costs, reducing fines and penalties, and finally, optimizing freight costs. Thirdly, these cost efficiencies and the operational simplicity CargoWise enables for our customers results in industry consolidation through M&A and the rapid, successful and profitable integration of the businesses they acquire whilst also driving competitive advantage and profitable organic growth. You can see the highlights of our 3P strategy execution on this slide. We're progressing our three breakthrough products, which I'll update you on in the next slide. Our acquisition strategy adds to our speed of execution and fuels further and faster organic growth. As I talked to earlier, we made three acquisitions in our key development areas and continue to actively target acquisitions that drive product innovation, market penetration, and growth and profitability over time, which has been demonstrated through our results in recent years. We intend to continue this highly effective strategy by using our strong balance sheet and cash-generative capabilities in a disciplined manner to further enhance growth. We continue our unrelenting focus on product with $137 million invested in product development and innovation in 1H 2025, up 18% on 1H 2024. We've seen strong growth from our large global freight forwarder usage of global customers, which has grown 25% year-over-year and over 50% growth in transit warehouse usage with rollouts continuing. In terms of penetration, as mentioned, we secured two Japanese top 25 global freight forwarder rollouts with Nippon Express and LOGISTEED. Two new organic global rollouts that are now in production are SPARX and MOL Logistics, which means we now have a total of 54 large global freight forwarder rollouts, including 14 of the top 25. Note the 13 large global freight forwarders that are contracted and in progress have only approximately 20% of their expected users currently live on CargoWise. So, there's plenty of runway ahead. And lastly on profitability, our company-wide efficiency program has exceeded its target of $33 million and is expected to deliver $36 million of annual run rate savings with $14 million net cost out in 1H 2025 and FY 2025 net savings of approximately $25 million versus around $20 million previously expected. Our strategically significant acquisitions, Envase and Blume, delivered a combined EBITDA margin of greater than 20% in the first half versus been loss-making in first half 2024 while growing revenue. This highlights that as businesses integrate into and adopt the WiseTech way, they become more efficient and profitable. Now, I'll provide an update on our three breakthrough products. ComplianceWise was launched in 1H 2025 and rollout across our customer base is progressing, with product development continuing in order to drive uptake in the future. ComplianceWise provides our customers with extended functionality in international trade compliance and export and import classification assistance. It also protects them from compliance breaches and audit failures resulting in customer loss, reputational damage and substantial fines, penalties, and sanctions. It's important to highlight that the world of compliance and regulation is constantly evolving, and we continue to develop and enhance this functionality as new tariffs and regulations come into effect. This is where we differentiate ourselves, a single platform for customers to see the who, what and where of compliance for any given job and is completely integrated into the day-to-day operational system, providing expert curated content of critical information, helping customers understand what compliance requirements exist for goods being shipped and the countries they've been shipped through. Importantly, it also allows our customers to record their compliance activities in the event of an audit. It's incredibly unique and ever more valuable in an environment that's constantly evolving and changing. CargoWise Next, our new next-generation platform, has launched with pilot customers in 1H 2025 with a systematic phased rollout expected to start in 2H 2025. We continue to see strong customer interest in the major new product features in early access and expect this to pick up the pace through the second half and beyond, which will start to contribute revenue as we commercialize. As we explained at our Investor Day in December, CargoWise Next will create significant additional IT cost savings and further reduce labor costs for our customers through additional automations, new gen AI applications and major new product features. Development of Container Transport Optimization is ongoing, and we now expect an initial launch in 2H 2025 in Australia. This will be a transformational product, and it's important to get the product and proposition right to deliver value for our customers. The industry problem we are solving is extremely complex and layered, involving many players across the logistics supply chain. Through Container Transport Optimization, we'll deliver cost efficiencies for our customers through their direct cost of transportation. What we're building through Container Transport Optimization is a fundamental overarching model of high-level data that allows our customers to choose the best possible routes through a system at a whole of port capability. It encompasses matching an export container with an import container, optimizing gate supports, reducing truck wait times, reducing dead legs, and reducing inefficient use of trucks. Container Transport Optimization will provide all these capabilities as a single component to our existing customers. We also see all three breakthrough products as a way to accelerate the transition of non-CargoWise customers off their legacy in-house IT systems. We continue to win major global logistics customers while these added capabilities and our large customers' ability to grow faster than their peers all drive further adoption of CargoWise. As mentioned earlier, since the start of FY 2025, we secured two top 25 global freight forwarders who are two of Japan's largest, Nippon Express and LOGISTEED. We also added two additional organic rollouts in production with SPARX and MOL Logistics. This means that of our 54 large global freight forwarder clients, 41 are now in production. Nippon Express recently acquired cargo-partner, another CargoWise large global freight forward customer, highlighting the benefits CargoWise brings to drive consolidation in the industry. On to profitability. Our focus is to drive shareholder returns through our high-growth and scalable SaaS model while continuing to enhance our operating leverage to drive margin improvement. We've digested the margin dilution from the FY 2023 acquisitions of Envase and Blume. And our EBITDA margin is back to 50%, earlier than we originally anticipated, and we expect to deliver further improvements as we scale and deliver additional cost efficiencies and revenue growth. As outlined earlier, our company-wide cost efficiency program exceeded its target of $33 million and is expected to deliver $36 million of annual run rate savings, with $14 million net cost out in 1H 2025 and FY 2025 net savings of approximately $25 million versus around $20 million previously expected. This leads me to our guidance for FY 2025 and our continued strong long-term growth outlook. Our guidance is based on the assumptions we've set out here and in the appendix of our investor presentation. Assuming there are no material changes to these assumptions or no unforeseen events that arise prior to the 30th of June 2025, we now expect to deliver revenue at the bottom end of the $792 million to $858 million range, representing revenue growth of 16% to 26%. We expect the first half/second half CargoWise revenue split to be in line with FY 2024 with CargoWise revenue expected to grow approximately 20% in FY 2025. EBITDA margin rate is expected to be at the top end of the 50% to 51% range. In terms of FY 2025 EBITDA, we expect to deliver $396 million to $436 million, representing EBITDA growth of between 22% and 34%, with the EBITDA margin exit rate at the end of FY 2025 expected to be around 52%. We've consistently delivered a strong track record of revenue, EBITDA and cash flow growth since our listing. Achieving 32% revenue CAGR, 39% EBITDA CAGR, and 47% free cash flow CAGR really demonstrates the focus on our strategy and the strength and resilience of our business model. I want to revisit the key points from the start of the presentation. We delivered a strong first half revenue and EBITDA in line with expectations. Business momentum has continued with EBITDA margin expansion of 5 percentage points and two new top 25 large global freight forwarder wins, Nippon Express and LOGISTEED. We continue to successfully actively pursue strategic acquisitions in line with our key development priorities, and our breakthrough products are progressing. The opportunity for future growth is substantial and underpinned by our strategic investments in technology, our breakthrough products, our relentless focus on adding value for our global supply chain customers and our ability to adapt to the ever-changing and logistics landscape. We're not just keeping pace with industry changes, we're leading the way, setting new standards and driving the evolution of global logistics. I'm excited about the opportunities that lie ahead for WiseTech. Our highly skilled global team, the ability to execute on our strategy and our strong culture built on innovation and collaboration will continue to be pivotal to our success. Before we open for questions, I'd like to hand over to Richard.
Richard White: Thanks Andrew. You've heard an update on the status of our three breakthrough products from Andrew. I want to let you know that I'm fully engaged and here for the long haul with an invigorated vision, passion and a trove of new ideas to continue to build the company that Maree and I created and that I love so much. You have my absolute commitment to do everything within my power and ability to accelerate the business you have invested in and that has been so successful over the almost nine years since listing. It is also important to remember that WiseTech is a globally successful, product-led company with over 30 years of experience. Our vision and my personal mission is for CargoWise to be the operating system for global logistics. And with six key development priorities, our product scope encompasses global logistics and the whole supply chain. One of WiseTech's most powerful capabilities is that we will release around 1,200 CargoWise product updates this year alone and have consistently increased this release rate for many years. Delivering that scale of innovation and at that rate of flow and value to our customers is truly astonishing. Along with that immense flow of work, we are also winning new customers with the increased power and productivity of our platform, including signing Nippon Express and LOGISTEED, and further increasing our footprint in Japan and Asia. We are extending the reach of our platform across all of logistics and into supply chain for the benefit of our customers and their customers integrated within our unique product. Logistics does not operate in a vacuum and is an integral part of the global supply chain. Global trade management is now a focus of ours with the addition of BSM Global and ImpexDocs that also bring this capability into WiseTech, along with digital document ingestion, e-bookings, and e-bills of lading. We intend to create a deeper value in CargoWise for our forwarding and shipping line customers in order to better service, integrate their customers' logistics needs. When you consider the development of our breakthrough products, ComplianceWise and CargoWise Next, they are both truly global products. Until you put these complex type of products in front of customers, get customers actively using them and get feedback, you can never fully complete the product and properly address its full scope. As a result, we are now going through a product hardening and feature expansion, process refining for each country or region and dealing with the multitude of different regulations and their interpretation and application to each of our customers. At the same time, we're making sure we are making the products easier to use and relevant to the customers' business needs and customer demands. The team and I are now focused on how we can further increase the tempo and flow of product development with a deeper focus on larger product developments like ComplianceWise, CargoWise Next, and Container Transport Optimization. I intend to drive the focus on these key deliverables and their completion. At the scale we now operate and the wide range of customers and markets we now service, we continue to evolve our strong product development with our unique culture and team structure. Our product scope, customer base, and market coverage target almost every country with any substantial international trade. These variations have to be designed, built, and perfected. I am confident with the progress we are making with ComplianceWise and CargoWise Next, and we expect increasing uptake in the next half. The opportunity for CTO is significant. However, we must ensure that it is fully capable when it enters the market. Thus, taking time to build a full suite of valuable optimizations is a critical need to ensure commercial adoption and long-term growth and success, which now includes the expected initial launch in 2H 2025 in Australia. At the end of the day, all new product developments are ready when our customers say they are ready. We have to work hard to get these products out in test mode and in front of customers as early as possible and then finalized and hardened for commercial deployment. This process is already part of our successful DNA. However, we are never satisfied with the status quo. This can be refined further to shorten product development, commercialization times and increase return on investment. In closing, I want to reiterate that you have my absolute commitment to do everything within my power and ability to drive the growth of WiseTech and its products, commercial outcomes, M&A drivers and accelerate the business you have invested in and that has been so successful over the years since listing. WiseTech has always had a team of incredibly talented and driven people. I'm so proud of them and proud to be part of the team with renewed drive and commitment. Thank you.
Andrew Cartledge: Thanks, Richard. Now let's open for questions.
Operator: Thank you. [Operator Instructions] The first question today comes from Kane Hannan at Goldman Sachs. Please go ahead.
Kane Hannan: Good morning guys. Just the CTO launch in Australia later this year. Can you just help us how we should think about the time line to taking that product globally into 2026? And given it's just an Aussie-centric product in the second half, the global forwarders probably won't have that much usage of it as, I suppose, an Aussie point solution. Is it right to think about the assumed revenue in the second half being pretty immaterial? Or just any color you can talk there would be helpful.
Andrew Cartledge: Yes, Kane thanks. I'll take that one and then I'll just pass it over to Richard here as well. Look, obviously, we've indicated that the initial launch was always going to be in Australia with further rollouts of the products internationally at later dates. That's now going to happen in the second half of 2025. We're going to understand the market reception for that in Australia. And then, of course, it is going to be rolled out further in future periods. So, I think it's in line with what we've previously said about the rollout of the product. It's just happening in Australia here in second half 2025. Richard, do you want to add?
Richard White: Yes, I think the really important thing to understand here is that this is a major product with a major opportunity. And taking time to get it right so that it is very successful and penetrate deeply both in Australia, which is one type of market. Australia has a particular way of managing container transport, particularly around what Americans call the chances [ph] or the Australians call skills. That critical factor will determine how it rolls out globally. So, we're very confident that being patient in getting it right is the right thing to do. While that has caused some delays, the long-term plan is much stronger because of that. I think also, we have to do some adaptations for the U.S. because of a different -- slightly different business model there, and then we have to roll out the rest of the world. So, this is a big project with a lot of upside, but also, it has to be done perfectly. And that's what we're trying to do.
Kane Hannan: Thanks guys.
Operator: Thank you. Your next question comes from Nick Basile at CLSA. Please go ahead.
Nick Basile: Thanks for the opportunity to ask a question. I just wanted to pick up on Richard's comments regarding the extension of the product into the supply chain from logistics. Was that in reference to global trade management or other areas? Thanks.
Richard White: Yes. So, we are very aligned with our core customer base who are logistics providers, some of them asset-heavy, transport companies, shipping lines, airlines, rail providers. But very particularly, very strong in our asset-light companies like freight forwarders, international logistics providers. And what we're trying to do with this is to take those features of global trade management and supply chain management and give those things as extensions to help their customers better integrate with logistics services. So, it is a global trade management play, but it's not the play that you would think. We're not going directly to those markets and trying to sell over the top of our customers. We are actually trying to give our customers substantial additional capability that creates a valuable link between the supply chain managers, the logistics managers, and the logistic providers. That's an important thing because it leverages our customer base in a way that would otherwise not be possible. So, it's very early days for that strategy, but we've been planning it for a long time and we've made a couple of important moves in that space and a lot of internal development in that space. There will be more to come. I think we should wait for the rest of it to evolve.
Operator: Thank you. Your next question comes from Roger Samuel at Jefferies. Please go ahead.
Roger Samuel: Hi, morning guys. My question is, when can we expect a full ramp-up of the 3 new products? Is it going to be in FY 2026 or is it going to be more like FY 2027? And the reason why I'm asking is because it does sound like you're still doing some product development for ComplianceWise, so it sounds like there's still some work to be done there. And as far as I understand, the take-up of ComplianceWise is still pretty low at the moment. So, yes, just interested to hear when we can expect a full ramp-up or perhaps the take-up of these three new products? Thank you.
Andrew Cartledge: Yes. Roger, it's a good question, thank you. Look, obviously, these are not the only things that we're working on at the moment. And I think what we've got to think about is the growth that we've seen historically for the CargoWise part of the business has been around about 30% compounded growth over the last eight years. These three products are going to contribute to that long-term growth going forward. But also, a lot of the other product development items that we're working on that we haven't discussed today are also going to contribute to that. They will ramp up over time through the back end of 2025, into 2026 and beyond. And even when the products are sort of fully launched and developed, they'll continue to be added to, to build out the ecosystem and they'll continue to grow. Customers will use them as they come on to the platform. And that will also grow revenue growth as we've done in the past. So, I think this is a part of our long-term growth, and it's a part of what keeps us growing at the rates that we've been able to grow at in the past.
Operator: Thank you. Your next question comes from Andrew Gillies at Macquarie. Please go ahead.
Andrew Gillies: Hi guys. Thanks for the opportunity. Just a quick question on CTO, if I could. If I'm thinking about MatchBox Exchange's triangulation fee, it's kind of $70. Last year at the Investor Day, you did mention that you might be moving to a value share model and you could potentially capture a share of the value you're delivering to customers. Can you maybe give us a bit of a steer on kind of the rough economics or if you're still thinking about that new style of revenue model and what the early feedback you've had is?
Richard White: Well, first of all, we don't finalize commercial arrangements, particularly pricing and the way the model works, until quite close to the finalization of the product based on what we're talking about with customers. We'll obviously be doing trialing and early beta testing with customers as you always do. But you have to think of it this way. If you do the entire range of optimizations, and there's 13 or 14 optimizations -- MatchBox does one. That does it very well. It's a great business and it's actually doing very well. It's growing very quickly. But if you take all of the optimizations that we have envisioned and you put them all together and you maximize all of the places where things happen in the supply chain that are not optimal, and Andrew mentioned the whole host of them, what will happen is that the value creation of that is substantial, and we would be looking to price that as a small portion of the value that we create for our customers. Now, what that means, we've got some ideas but we're not going to go commercial on this until we've got a much more customer-centric engagement with that product. And they will probably have different models in different countries because as we've talked about before, the Australian model, which is pretty close to the European model, is very different to the U.S. model. And so there's going to be some fundamental differences in different markets that might have to have slightly different commercial arrangements. So, this is not a -- it's not a one-size-fits-all problem and it's not a one-size-fits-all commercial model.
Andrew Gillies: Thanks.
Operator: Thank you. Your next question comes from Paul Mason at E&P. Please go ahead.
Paul Mason: Hey thanks. Thanks for the question. Just wanted to ask, just given like all the events have obviously transpired, one of the things that I've been sort of thinking about and just wanted some color on is -- any impact on your sort of senior executive ranks? Obviously, there's been an impact on the Board. But have you managed to retain all the people that we met at the Investor Day? Or if not, like is everything still looking healthy in terms of the Senior Executive ranks?
Andrew Cartledge: So, yes is the answer to the question. I mean we've got an incredibly experienced senior management team, and you referenced a number of those that you did meet at the recent Investor Day in December. I mean, just to give a bit of context, that leadership team has just got about almost 200 years' worth of experience with the company, right? It's a very experienced team. You look across that team and their average tenure is about 12 years with the company. So, we're very happy with that leadership team and the support that they provide for all the 3,500 people in the business that are committed to growing this business and delivering for our customers every day.
Paul Mason: Thank you.
Operator: Thank you. Your next question comes from Bob Chen at JPMorgan. Please go ahead.
Bob Chen: Hey morning guys. Just a question on the tick-up in product development. We could clearly see that in your R&D line as well as the CapEx side of things. I think, Richard, you mentioned that you're still going through a phase of sort of hardening a lot of your capabilities as well. Like how should we think about the trajectory of the R&D as a percentage of revenue? Like can we expect that to climb further from here? Or are the current levels sort of more going to be maintained into the next few years?
Caroline Pham: Yes. Thanks Bob. I can take that question. Hi, everyone. So, I think the question was around product development and are those levels going to continue into the future. So, as you would have seen from the current period in the last couple of prior comparative periods, we've been sitting at R&D as a percentage of revenue of around 35% to 36%. So, we do expect that to remain in that range for the short term, but we'll give you an update at the full year if that's going to materially change into FY 2026.
Andrew Cartledge: And Caroline, just to sort of add in there as well, we have obviously seen headcount increase in our product development group over the past 12 months. And actually, the product team now represents about 64% of our total employees, which is up a couple of points. So, we are continuing to invest in this area. It's obviously engine room for growth for the business and that's an important factor.
Richard White: I'd add one more thing. I think you can keep the revenue line or cost line on this relatively stable. But what you really have to do here is to maximize the yield out of that investment. So, there's a lot we can do. We're very strong. We produce an enormous amount of output out of that system, but I think we can do much better. And I think that's a good team that can focus on this. We've got great people in the software development space, in the product space, in the management space around this. But I think living on the status quo isn't what we do. We want to push this and we want to make our own people much, much more efficient. In fact, I've been working on some incredibly new AI components that actually help you with software development that should actually produce much greater results if it's applied correctly to defects and if it's correctly applied to code reviews. And that's something I haven't got my legs under the table on yet, but I've been working on that in the background as a form of study.
Caroline Pham: Yes. And just to add to that, on Page 39 in the appendix, we do list a couple of the components of our product development process, which actually help us to increase our product throughput per dollar invested that Richard was talking about. And that's something that we'll continue to look at and do in the future.
Operator: Thank you. Your next question comes from Garry Sherriff at RBC. Please go ahead.
Garry Sherriff: Yes, morning Richard, Andrew, Caroline. A question shorter term in nature and the other is a bit more strategic. Focusing on the short-term, institutional investors and asset consultants have a heightened focus on governance. Given the recent events, would the Board consider releasing that final governance review just to provide a bit more transparency to the market? That's the first question. The other one, more strategic. Any update or color around plans on a future U.S. listing? I know things have been mentioned at a high level, but just trying to get any update on a future possible U.S. listing as well? Thank you.
Andrew Cartledge: Yes. Thanks Garry. Look, I think you would have seen the announcement come out this morning, which was an update on the Board review process. So, I'm not going to comment on that past what was in the announcement this morning. I think it was pretty clear and self-explanatory. The strategy -- strategic question that you have and the question about U.S. listing. Look, we're listed on the Australian Stock Exchange here. We have great access to investors and capital through that market, and we're very happy with our listing environment in Australia. There's no intent to change that. So, I guess the answer to that question is no, not at this time.
Operator: Thank you. Your next question comes from Phil Campbell at UBS. Please go ahead.
Phil Campbell: Yes, morning everyone. Just a question around the corporate governance again. I'm just interested to see what the customer reaction has been for the four Directors that left and just how WiseTech's been dealing with that. Kind of what conversations you've had with those customers and how you've explained what went on would be quite good? Thanks.
Andrew Cartledge: Yes, Phil, thanks for the question. Look, obviously, that went out into market on Monday. We're in constant contact with our customers, both large, medium and small. And actually at the moment, very little reaction. I think, obviously, waiting for today for results and further updates. So, we'll continue to stay engaged as we always do with our customers to understand how they're feeling.
Richard White: I just want to add to that. I want to just put you in the customer mind. First of all, the issues that you're referring to are a uniquely Australian issue. And not to be discounted, they have to be properly managed. And I think that the ASX release deals with that, so I'm not going to comment about that any further. But in the customer's mind, the value that we create for them is very substantial. And they have asked time and time again over the last six months, what does the future hold for the product? What does the future hold for you, Richard? Are we going to see the company continue its trajectory of being an innovator, a globally capable innovator that helps our business be better and better? And the correct answer to that is we are working very hard for customers. They don't think about this market or these governance issues in Australia. They think about what is right for them, for their product, for their business and for the long-term of WiseTech as it affects that business. And it's come -- time and time again, that comment comes across very clearly. So, I think we know the customer mind, and we are very focused on giving that. And we're also very focused on creating shareholder value.
Phil Campbell: Great. Thanks. And obviously, I just noticed the four Directors did sign off the accounts. So, obviously, there wasn't any issue with the accounts per se?
Caroline Pham: Yes, that's exactly right.
Phil Campbell: Thanks.
Operator: Thank you. Your next question comes from Tom Beadle at Jarden. Please go ahead.
Tom Beadle: Hi. Thank you for the opportunity. I'm just asking my question to help us better frame second half 2025 and then FY 2026 revenue. So I mean, could you just share some operating KPIs or a framework to help us build our estimates, I guess, or to bridge our estimates from first half 2025 to second half 2025 and then to FY 2026? For example, could you just tell us the proportion of revenues from the last 51 freight forwarders just to make it easier for us to quantify how those rollouts might drive revenue growth into 2026? I realize that's not the only driver. How should we expect new products to contribute in the second half and then annualize into 2026? And just generally speaking, like what are the most important operating KPIs that you look at internally when framing this bridge? And can you share them with us? Thanks.
Caroline Pham: Yes, sure. Thank you very much for your question. So, I think the answer to this really is the revenue growth drivers that we've spoken about consistently in previous years. So, on Page 31 of the deck, you'll see that we've listed there the CargoWise recurring revenue growth drivers and the items of large global freight forwarder rollouts, new product enhancements reflected in price, inorganic contribution, new and existing customer growth, major new product releases, and lastly, market growth. Those are the same six factors that have allowed us to deliver a 33% CAGR over the last eight years. And those are the same factors that we expect to assist us to deliver the FY 2025 guidance as we've announced today. So, it's really just a mix of those six things. And there's not sort of any particular specific KPI that we look at. The split that we've got here is how we look at the businesses and the contribution as well.
Andrew Cartledge: Yes. Tom -- and just to sort of add to Caroline, I think we've consistently talked about those growth drivers now for a few years. We've understood obviously that they change slightly from year-to-year. They change with acquisitions coming into the business. They change with the launch of new products and the timing of those. And they're never as uniform as it sort of rolls up on a growth basis there over the eight years. So, they can be a little bit lumpy from half year to half year.
Tom Beadle: Thanks. I guess where I'm coming from is just, I guess, really the new products. I'm really interested in understanding just where they might drive growth into 2026, given as you say, it's sort of fairly lumpy. So, yes, just any granularity or quantification around that would be really helpful.
Andrew Cartledge: Yes. Well, not to quantify it for you, but you would anticipate that the major new product release part of that equation would be higher than it has been in the past as those new products come online and deliver growth over the sort of short to medium term.
Tom Beadle: Okay. Thanks.
Operator: Thank you. Your next question comes from Siraj Ahmed with Citigroup. Please go ahead.
Siraj Ahmed: Thanks. Andrew, just following up on Tom's question, right? Like you said, track record of close to 30% growth over eight years. Just trying to understand, you've had maybe two years of 20% sort of organic growth, right? This half was 20% as well. So, is it fair -- I mean, [Technical Difficulty] products. Should we be thinking back to [Technical Difficulty]? And following up with that, do you think [Technical Difficulty], right? But if we get back to that sort of trend growth, do you need to reinvest or do you think there's meaningful [Technical Difficulty] positive jaws here? Thanks.
Andrew Cartledge: Siraj, I apologize that you broke up quite a lot on that question and there was a bit to it. So, I want to be absolutely crystal clear on what you're asking, if you don't mind.
Siraj Ahmed: Yes. So, just on the cadence of, [Technical Difficulty] two years of sort of 20% organic growth, do you think 2026 [Technical Difficulty] and what happens with margins with that? Does it expand meaningfully or do you reinvest back into the business? Thanks.
Andrew Cartledge: Okay. So, the question was about growth rate into 2026 and whether that generates margin expansion and do we reinvest that back into the business?
Siraj Ahmed: Exactly.
Andrew Cartledge: Yes. Caroline, do you want to--
Caroline Pham: Why don't I take that? hi Siraj. So, I think the first one on revenue growth. So, obviously, when we come to the full year results, we'll give you an update on what the FY 2026 guidance looks like. What we can say today is, again, those drivers of revenue growth, that have allowed us to deliver that 33% CAGR over the last eight years. And you would have seen the CargoWise recurring revenue growth for this period delivering at around 21% on a reported basis. In terms of the EBITDA margin and margin expansion, I think what we should refer to here is a couple of things. So, one is the strong cost discipline that WiseTech has shown essentially throughout its life on listing. More formally, we've had a cost efficiency program that has exceeded its initial target of $33 million, and we're looking to deliver $36 million in annual run rate savings. And in terms of reinvesting that into the business, that's absolutely what we're looking to do. We're also looking to expand EBITDA margins not just from that strong cost discipline but also from the operating leverage that we get from revenue growth, which we're going to be able to deliver from the reinvestment of those margins back into the business.
Siraj Ahmed: Can I ask one more, if that's okay, or I can jump back in?
Andrew Cartledge: Go ahead, Siraj.
Siraj Ahmed: Andrew, you called out recent industry consolidation, right, Nippon Express. Just two questions on that. First one, is cargo-partner confirmed to come online with CargoWise? And secondly, the other big consolidation has been DSV, DB Schenker. DSV has actually been very public about potentially moving away. Just keen to understand what conversations you've had with DSV? Thanks.
Andrew Cartledge: Yes. Sure, Siraj. So let's just start with the DSV piece first. We're obviously working very closely with them as we have done over the past three acquisitions that they've consolidated very quickly onto the CargoWise platform, and we'll continue to do so going forward. Caroline, did you want to add something on cargo-partner?
Caroline Pham: Yes, sure. No problem. So cargo-partner, as you rightly say, was acquired by Nippon Express. So, cargo-partner is actually an existing CargoWise customer of ours, and with Nippon now being a recent customer, I mean, I think you would expect that they would be consolidating on the CargoWise platform.
Siraj Ahmed: Thank you.
Operator: Thank you. Your next question comes from Kane Hannan at Goldman Sachs. Please go ahead.
Kane Hannan: Hey guys. Just a quick follow-up. Just in the pack, I think you talked about customers usage growing 25%, warehouse over 50%. Was there any reason why usage growth would be different to revenue growth in the half? And just a sense of what that usage growth was sort of through FY 2024 would be helpful.
Caroline Pham: Thanks Kane. I can take that question. So, the metric that we provided on Slide 19, which talks about LGFF usage growth in customers being 25% and transit warehouse over 50%, that's really just on a transactional basis. So, that's just the pure sort of unit count of transactions that are being done. And I think as you're probably aware on the STL price list, the transaction value and therefore, the price that we charge customers can vary greatly depending on the type of feature that they're using and the value that we've attributed to that. So, that's why there is not a one-to-one relationship between the usage growth figures that we've quoted here and the revenue growth numbers that you're seeing.
Kane Hannan: Yes, perfect. And how does that compare to, I suppose, usage in 2024, if you're disclosing those numbers?
Andrew Cartledge: Yes. We didn't disclose the data in 2024, Kane, to be honest. And if you remember, we had a lot of the European customs systems come online sort of back into 2023 and to 2024. So, as customers are transitioning over now, we're starting to see them use those new countries that we've added to the platform most recently. So, I think it's an interesting statistic here that the customers, as those countries become available on the platform, are just adopting them quite quickly. And as we make more and more countries available, as we move to our target of having 90% of global manufactured trade flows on the system, that we would expect to see them increase their usage. It's not something that they're announcing. We had an announcement around Kuehne + Nagel and DHL some time ago about them doing a global rollout. Other customers are just using the system.
Kane Hannan: Perfect. Thanks guys.
Operator: Thank you. Your next question comes from Roger Samuel at Jefferies. Please go ahead.
Roger Samuel: Hi. Just to follow-up on the previous question. I mean you haven't really announced any major contract wins in customs. I mean, do you have to wait until you have that 90% coverage before you push this product even further?
Richard White: So, I'll take that, and thank you for the question. The way to look at this, though, is to think that major announcements for customs wins alone is a very unusual thing, and it was particularly a Kuehne + Nagel thing. For most of our other customers, they moved to the platform through the forwarding module, which is -- has its primacy in the entire business, and then they start looking locally in each country to optimize further. And so customers feeds in after forwarding in a very methodical and rhythmic way. I think the more we build out those customs capabilities in the European area, in Latin America, in the rest of the world, the more customers take it up because it solves a fundamental problem that sits at the edges of their forwarding business that is unable to be solved by gluing little pieces of software together with huge amounts of cybersecurity risk and other things that go with that. It is fundamentally a single platform with all the features that give you compliance across the world, including local customs. So, I think we're not going to see lots of announcements about adoption of customs. We're going to see lots of announcements about the adoption of CargoWise. And very occasional, we'll get announcements about a customs rollout.
Operator: Thank you. Your next question comes from Andrew Gillies at Macquarie. Please go ahead.
Andrew Gillies: Thanks guys. Just wanted to ask a quick question around margins. That turnaround in the Blume and Envase EBITDA margin to above 20% is a great result, but it kind of strikes me that your margins can continue to expand from here. Is there scope for more cost out or potentially efficiency gains with those acquisitions, particularly given their size relative to M&A historically? And also that 19% of the development expense that's allocated to non-CargoWise products, based on commentary, am I correct in assuming that, that will be allocated to growth rather than necessarily cost out? Thanks.
Andrew Cartledge: Yes. Andrew, I'll hand this to Caroline in a second, but just really, I think an important thing for where we are at the moment. We added 5 points of EBITDA margin versus the first half last year. We got back to 50% EBITDA margins. That matches what is our highest annual reported EBITDA margin, which was in FY 2022, which was the year before we completed the Envase and Blume strategic acquisitions. You've obviously seen the benefits of the cost program. And we've guided to a 52% exit rate for FY 2025 moving into FY 2026. So, -- and clearly, the business has generated that operating leverage, just a part of the software model, right? We have a very high gross profit margin. We reinvest in the business with the profit that, that generates. And that continues to generate future growth in the business. But the operating leverage is there, and we would expect to see it continue in the future. Now, we're not going to give you a sort of guide on what that looks like for the future at this point. We will do that at the next set of results, but you have seen that operating leverage. And it only really gets diluted when we do sort of large strategic acquisitions, which as we've indicated, we can work through as part of the integration process and the growth process.
Caroline Pham: Thanks Andrew. So, just adding to what Andrew just said, in relation to the cost efficiency program and whether we think there's going to be sort of additional levers there that we can pull to extract further cost efficiencies, whether that takes the form of a formal program as the one we announced a couple of years ago or whether that's really us just continuing to exercise that strong cost discipline, what it means is that we're just going to be continually looking for those opportunities any way in the business. A formal program isn't necessary for us to deliver strong EBITDA margins or EBITDA margin expansion. It's really kind of built into the way that we run our business and also the way that we look at acquired businesses that we acquire. So, whether there's duplication of roles, synergies or any sort of benefits that we'll get from operating out of the head office in Sydney or any one of our major locations. The other thing to note about Envase and Blume as well is that the EBITDA margin improvement in this half wasn't solely driven by just the cost efficiencies. We've noted as well that both of these businesses actually grew their revenue. So, it shows that there's a really strong value proposition there in terms of bringing Envase and Blume into our business, and we're starting to see that benefit as well. I think the other part of your question was on the 19% of product design and development expenses that relate to the maintenance of non-CargoWise systems. So, I think what we've shown over the last couple of periods is that this has continued to trend downwards, which is what we would expect. And that's really a reflection of us focusing the product resources on CargoWise and building out the CargoWise platform and really trying to just keep the legacy acquisition platform costs at an absolute minimum and moving the resources to CargoWise, which is what's going to drive that long-term growth for our customers and us in the future.
Andrew Gillies: Thanks very much guys.